Operator: Good morning, ladies and gentlemen. Welcome to the Superior Plus 2014 Q4 and Year End Results Conference Call. I would now like to turn the meeting over to Mr. Luc Desjardins. Please go ahead, Mr. Desjardins.
Luc Desjardins: Good morning, and thank you, welcome to the Superior 2014 annual and Fourth quarter results conference call. With me in this morning call is Wayne Bingham, Exec VP and CFO; and Jay Bachman, VP, Investor Relation and Treasurer. Wayne Bingham will provide an overview of the fourth quarter and annual results after which I will provide an update on the strategy and the business issue. I will now turn the call over to Wayne.
Wayne Bingham: Thanks Luc. And Morning everyone and welcome to our fourth quarter call, I hope those of you in the east there keeping warm. I’ll provide some brief highlights on our financial performance and then turn it back to Luc. For the quarter we had consolidated AOCF up to four restructuring cost of %0.68 per share compared to $0.56 per Q4 2013, this performance was in-line with our expectation and a very solid excellent quarter for us. This represents a 21% increase quarter-over-quarter for the year ended December 31, 2014 we achieved an AOCF before restructuring charges of a $1.89 compared to a $1.69 for 2013. This was $0.04 per share above the midpoint of guidance of a $1.85 per share. And I’ll make a few comments on the business year results, energy services recorded EBITDA $59 million in the fourth quarter of 2014 as compared to 45.8 excuse me, in the fourth quarter of 2013, an increase of 29%. Overall, gross profit was up 4% primarily due to a 22% increase a year. Cash operating and administrative cost declined quarter-over-quarter by 7.2 million or 8% reflecting the successful implementation of destination 215 initiatives. Turning now to specialty chemicals, specialty chemicals recorded a fourth quarter EBITDA of 28.6 million compared to 31.1 million in Q4 2013, revenue was 9% higher and gross profit was up by 1%. Our potassium volumes were up by about 4,000 tons or 6% due higher rate share volumes, primarily due to increased production and plants coming on Saskatoon. Turning now to CPD, CPD recorded a fourth quarter EBITDA of $11.6 compared to the fourth quarter of 2013 of $9.8 million. Revenues were up 12%, gross profit was up [80]. We see good growth for shareholders in the coming years which we will further enhance by the CPD initiatives which Luc will speak to in a few minutes. Corporate costs for the quarter were $2.2 million compared to $4.4 million for the prior quarter, the decrease was primarily due to lower LTF costs due to mark to market. On the debt management side at year end the balance sheet leverage was 3.5x before restructuring and we anticipated to be in the range of 3x to 3.4x at the end of 2015 and most importantly we’re forecasting to achieve our target ratio of 3 to 3.5 as at the end of next year. Turning now to guidance, our guidance remains unchanged at a [$1.08 to $2.10] and this is before any relocation cost currently estimated to be approximately 2 million for updating the office to Calgary to Tronox. I’ll now hand it back to Luc.
Luc Desjardins: Thank you Wayne. Overall, we are pleased with Superior performance for the fourth quarter 2014 with results in the fourth quarter being 21% higher than the prior year quarter and the 2014 end results being 12% higher than the prior year. We’re encouraged by the improved financial performance for even more so that the results are largely due to ongoing operational improvements and we’re optimist that we will continue to see sustainable financial improvements throughout 2015 in the future years. Returning to specialty chemical business, the expansion of HCl production capacity in our Port Edwards and Saskatoon facilities now largely complete with both facility and commercial production during the fourth quarter 2014, providing a positive contribution to our fourth quarter results, the Saskatoon project is now finished at 33 million from a previous estimate a couple of years ago at 25 million. The increase of that budget is largely due to increased complexity of the tie in of the asset burner and to the legacy infrastructure which increased the overall construction timeframe which when combined with tight western Canadian labor market result in significant higher than expected cost. Although, we’re disappointed with the cost overrun, we’re extremely pleased with the final outcome of both projects which have already positively contributed to Superior bottom line. The market for HCL continue to be positive and to-date we’ve not seen downturn in either domain or pricing. Pricing on HCL continue to be steady due largely to reduced availability in by-product production. As I highlight in our guidance we do expect that the current oil and gas environment will result in some price weakness in the second half of 2015, but due the nature of HCL sales into the oil and gas market it is currently not possible to provide an accurate estimate on the impact at this point. It is important to note that HCL production from our Port Edwards facility is not directly exposed to oil and gas amend and that production from our Saskatoon facility can be placed into non oil gas market. There is no change in our financial outlook for chemical business compared to the update provided in the third quarter update, we continue to expect EBITDA in 2015 to be that of 2014, as our contribution from additional HCL capacity would largely be offset by reduced contribution from sodium chlorate due to electricity price increase and the excess of selling price increase. We remain very optimistic in our chemicals business and are confident that 2015 is a transition year we bridge to 2016. Beginning in 2016 we’re optimist that the supply demand fundamental for sodium chlorate will improve as our intent is to significantly reduce the amount of we enumerate under our agreement with the Tronox for the 2016. The reduced termination should help reduce North American supply and therefore the market should be more conducive to price increase on our consumer rates with the increase we have seen in our cost and in particular electricity. In addition, in 2016, we will begin to realize the first wave of our foreign exchange tailwinds that we have as a result of recent weakness in the Canadian dollar relative to the U.S. dollar. As we have discussed in the past, our 2015 financial results will not be materially impact by change in foreign currency rate due to hedge incurred into in prior years. Turning to CPD, we are very pleased with the result of the CPD business in the fourth quarter as we were able to realize both volume and margin improvements throughout the majority of the business. We are encouraged by the momentum we are beginning to see in the business and with ongoing improvement in the U.S. construction market, we are optimist of the outlook for ’15 and ’16 and beyond. During the fourth quarter, Mike Farrell was appointed as President of CPD business. Mike has a proven track record of improving operational and financial performance in the construction distribution space, in particular Mike played a critical role in improving pricing and procurement at Roofing Supply Group, the fourth largest independent distributor of roofing product in the United States. We feel strongly that under the direction of Mike and the rest of the leadership team at CPD, we will continue to see ongoing financial improvement throughout 2015 as we further implement our pricing and procurement strategy combined with the tailwinds of an improved U.S. economy. As a result of these factors, our financial outlook for 2015 is unchanged from the update provided in the third quarter; the CPD business is highly scalable and only requires investment in fleet and service to improve U.S. operation and volume. As it relates to our energy business, the operational initiative that underpinned destination 2015 continue to track to our expectation and I'm happy to report that the key building blocks that will allow us to sustainably reduce our cost structure are now in place. Over the past year, we have completed the implementation of our ADD IT system and rolled out standardized operating procedure [indiscernible] as part of our Superior Way project, we will continue to refine our processes, and it is our intent that the Superior Way project will transition from one-time undertaking into a continuous improvement project. Although we still have work to be done to transfer our group in North America from good to great, I am pleased to report that we are beginning to see the impact of our improved cost structure in our fourth quarter financial results as evidence of our reduced operating costs. In addition, although our sales volume were negatively impact by warmer than average temperature, we’re confident that the sales and marketing initiatives that have been undertaken over the last few years will continue to provide us with direct benefit throughout 2015. As mentioned in our press release, we have already seen and expect an ongoing impact on the financial results due to the recent volatility in the price of crude oil. On the positive side, low crude oil as a result in some of the lowest wholesale propane cost in the decade. The reduced price of propane has been conducive to margin improvement which was amongst the reason our fourth quarter result. We anticipate that the benefit on margin will remain in the first quarter of 2015, but will then by the rate as pricing return to more normalized levels in the second half of 2015. The lower cost of propane is also a positive to our customers who were able to benefit from our low absolute bill than in the prior years. We do sale propane to the oil and gas industry and as noted in our disclosure, we anticipate the softening of these sales volumes throughout 2015 assuming the current market dynamics persist. Taken as a whole, we are optimistic that the impact of weaker crude oil pricing on the 2015 financial results will be largely neutral as the benefit of improved margin should offset the impact of reduced sales volume. As it relates to our 2015 financial outlook for the energy business, we continue to see further financial improvement due to the ongoing benefits of operational restructuring, intelligent pricing initiative and investment in sales and marketing function to become more agile servicing our customers. I do want to remind everyone that our 2014 results did benefit from an unusual cold weather we experienced in the first quarter which was a net positive to the energy business. Our 2015 outlook assumed that weather will be consistent with the five-year average albeit the same to be located these two we have rather solid start to the first quarter as average whether particularly in the East Canada and the Northeast USA has generally being consistent to colder than the five year average and we anticipate that margin will continue to be strong for the second quarter. Lastly, I wanted to let all of our analysts and investors know that Superior corporate office will be relocating to Toronto from Calgary during the second half of 2015. The relocation will provide improved proximity to our businesses and majority of our investors as well as potential acquisition target particular in the Northeast of North America. With that said I would now like to open it up to questions that you may have.
Operator: Thank you. [Operator Instructions] The first question is from Jacob Bout from CIBC, please go ahead.
Jacob Bout: Good morning.
Luc Desjardins: Good morning Jacob.
Jacob Bout: First question is on the higher margins on the energy services business what was the impact in the fourth quarter was up roughly $0.02 a liter or?
Luc Desjardins: Let me look through it quickly. It’s about $0.02 and the much of the margin benefit from the pricing environment comes from really of course having lower costs but we also have as you know the reduced industrial mix of sale because of the oil field that’s giving us an overall better margin because of the mix and some of the margin improvement we certainly working on for last three years and intend to that has to do with pricing more intelligently on the many different things and the market we sell in North America and U.S.
Jacob Bout: May be just switching gears here on this CRA reassessment in 2011 and 2013 in November whilst this expected and during this time period and then do you - when do you expect them to reassess the following years?
Wayne Bingham: Hi Jacob. This is Wayne. Absolutely we knew it was coming and basically now we didn’t reassess the rate up until 2013, they will not be able to reassess for 2014 until we file our tax return which is generally six months so that’s a June 30 deadline. So we’re caught right up, no surprises, we remain steadfast in our conviction that we are going to take this case to the courts, we did have hearing yesterday where we are seeking certain internal CRA emails remained motion to the court that we want those and we expected a decision on that in couple of months and if we get that information we think that will booster our caser even further.
Jacob Bout: And then MD&A you figured that it’s your saying is that probably going to be a two year process or?
Wayne Bingham: Likely would be a two year process I mean based upon our experience so far I think we were a little bit optimistic and when get in going to the courts, but we have to get this process once we have this process where we apply to the courts to get information from CRA will get a decision hypothetically if we win that we assume CRA will appeal that to the second court level if you will. So we could stand up to a year in this process where we want to get access to their emails where we feel that very positive as to their views back in 2009 and 2010 as to the applicability of guard. So, in effect we probably lost a year and that’s why we are now in our guidance saying approximately in the next two years.
Jacob Bout: Okay. And then maybe just my last question on hardcore markets. With demand being down in the oil and gas sector in Canada, what is the point, I mean differences for, how far you can transfer those does it make sense?
Luc Desjardins: Well maybe I will start with the Port Edwards which is a great location in Wisconsin and none of our HCL and that particular plant even though we double the volume goes to that - though very small amount that goes to the oil field industry and Canada with Saskatoon, I mean, -- 250 miles which is the best after that is the extra cost of course but it’s also feasible. So it has not, we have not seen yet the decline in volume and prices are very solid. We are anticipating that something will happen and when you start to look at every type of chemical and product that’s used for the different types of oilfield production boy it’s a quite a job to get information and analysis that can show which chemical is used for which we try to every shape of font to get more analysis in that regard and having a hard time spinning down what is going to affect us but we know that there is something there and we somewhat - we took that conservation in our 2015 guidance.
Jacob Bout: So, just to clarify, the decline in volumes that you talk about or lack thereof, is that as of December 31 or is that as of mid-February?
Luc Desjardins: No, it’s not that as of - so I let to Wayne explain that one in detail?
Wayne Bingham: So Jacob, what we are seeing today because of committed rigs and drilling is that the demand is robust and the pricing is robust. We would anticipate towards the half of this year, there would be some impact on the HCL volume but it’s very important that as Luc mentioned, there is sub-components of the oil and gas sector, there is drilling and then there is oil sands which had a different economic profile as it relates to oil. Over and above that we sell, as we have said in the past to the food industry, steel industry but most partly we’ve diversified our sales mix. We sell through resellers, add component and they have infrastructure to send HCL worldwide, if they need to. So we take a balanced approached to it but I think its early days, I mean if one looks at the correlation between the rig count and HCL use in that sector, horizontal and vertical drilling there is direct linear relationship.
Jacob Bout: Okay, thank you. That was helpful.
Operator: Thank you. The next question is from Joel Jackson from BMO Capital Markets. Please go ahead.
Joel Jackson: Good morning. I want to start with CPD, you had a good run rate of earnings in CBD in the last couple of quarters with the average of about little over 10 million a quarter, is something we can expect I mean can you get to a $40 million run-rate in 2015, I guess you would expect some weakness easily in Q1, may be you can elaborate?
Luc Desjardins: Yes. There was two parts to the CPD story. The first part is the market and the phase construction is coming up, none of factors quick resolved the past couple of years predication but steady, probably in the range of 10% overall volume, 150,000 new house in 2015 so 10% to 12% additional and that’s giving us some tailwind and improvement in sales, creating for supplier not a tight production yes we will come faster because lot of people will rationalize over the past many years. So, when we get stock then with Mike Farrell with his team and some of you know me may be Matthew Joel as you are pretty new on our case. Those are people I worked with while I was in the equity firm and we all know as days a superstar team, very competent as executed on initiative and intelligent pricing and supply chain and position cost to be in a good place and that’s what Mike Farrell was undertaking which we see as our new CFO, who was part of our past team as well. So as a team and capacity to make things better every day for how to go about improving our efficiency pricing, productivity, supply base and its market in the U.S. lifting and helping us, I think for many years to come. There will be quarterly that may be not equal to ten, but overall absolutely for many years to come.
Joel Jackson: Okay. Okay thank you for that. Looking to some of your guidance that some of the margin improvement in propane and heating oil so the light effect will carry to Q1. Would you affect similar impact you want Q4 or would it be a little bit last as lag sort of disappears?
Luc Desjardins: I will ask Wayne if he wants to add the more precision to that, Q1 I think will be as good as Q4 and then I think after that will be more April, May, June and I think it will go back to keeping some of those improvements because they were ongoing and they are going to continue on intelligent pricing but some has to do with lower cost of propane and improvement in margin that are more short-term which is six months and then it will go away. Anything Wayne you like to add?
Wayne Bingham: No, spot on.
Joel Jackson: Just finally, looking at some of your commentary and your guidance for difference businesses, are you still maintaining roughly the mid-point of your AOCS guidance. It seems like maybe you brought down a bit of your guidance for energy service and especially chemicals or do you expect may be construction CPD to be a little bit stronger than you would thought when you first gave ’15 guidance or you still sort of feeling like you are heading towards the middle of that target?
Wayne Bingham: The middle of guidance is rock solid.
Joel Jackson: Alright, that is crystal clear. Thank you very much.
Luc Desjardins: Thank you.
Operator: Thank you. The next question is from Sarah Hughes from Cormark Securities. Please go ahead.
Sarah Hughes: Good morning.
Luc Desjardins: Good morning Sarah.
Sarah Hughes: Hi. So just on the energy and on your energy segment guidance, so you brought that down from some growth as of Q3 to flat for 2015. Now, if all of that related to the oil, what’s going on the oil and gas, or is that also we had a really strong quarter in Q4 which could be this year and impact on margins from propane pricing then VP harder to repeat next year.
Luc Desjardins: Thank you, Sarah. Q4 was very strong. You are absolutely right and at our Investor Day you asked a question about things are going well, the margins are improving one of more and I remember I answered to you I think we have the wind behind us and when that happens you, you usually have a little bit more gain in your space. So on the running rate, when you look at 2015, we adjust the fact that we think we are going to do better in margin and then internal growth and then their major impact would be of oilfield because we sale lot of propane is the real big nut of 2015, not showing as much as or more than we originally planned. We sale 200 million liter to that seal and we expect 25% less volume and that’s the big nut.
Sarah Hughes: Okay and then Wayne you talked about in MD&A and operating expenses with energy but the capitalization of the tank refurbishment cost in the quarter, what was that beyond in that? Is that a one quarter think or how do one think about that going forward?
Wayne Bingham: The annual impact for 2014 was 5 million. We process that in the fourth quarter. So on a going forward basis, it should be less scenario [ph], it was little bit of catch-up here, last three years have been little bit of catch-up here for us in terms of tank rehab. It should be a couple of million bucks less than I would think last year.
Sarah Hughes: Okay and then on the, just back on the HCL stuff, would you be able to tell us what percentage of your production would go into oil and gas in total?
Wayne Bingham: I will prefer not to for competitive reasons, there are competitors on this call today.
Sarah Hughes: Okay, that’s fine. And then on the construction Luc - on the construction as you go into 2015, can you give us a little bit detail in terms of margin improvement initiatives, what the core focus will be in 2015 and also kind of timing as far as there is a bit of a lag as you’ll start to gain more traction as you move through the air, you already starting to see it as in the early part of 2015.
Luc Desjardins: No, you are absolutely right. We did in the last couple of years, two years since the launch, those initiatives get some improvement as you saw in the results but we are probably - we are monitoring at half of the speed we should and that’s why we decide and I decide that we are going to step up to another level and the step up will take a good six months. We still have two sustain - making a very complicate and difficult to get quality information to make decisions. The training of the regional manager and branch managers to look at your A, B, C, D product and A, B, C, D customer and how you price and show them on the North American basis whether they are too low or see the product versus the [indiscernible] that the basin monthly review of every branch, every region helps everybody to tweak pricing where it can happen without losing sales and that’s in work but this is going to happen now on the disciplined approach month by month everywhere, non-stop and that’s what Mike is going to bring to the group. We feel on the supply chain, he is going to get the support of Mike, okay let’s leverage or total procurement in North America and reduce even more the number of suppliers and when you do more with less they will give you better volume, [indiscernible] will do that on the scale of twice as much as the past and I think the first half will probably be as the past years was, the past year 2014 and the second now I expect may be probably from those approach.
Sarah Hughes: Okay that’s helps me. Thank you very much.
Operator: Thank you. The next question is from Dirk Lever from AltaCorp Capital. Please go ahead.
Dirk Lever: Thank you very much. Good morning Luc. The question I have for you is on the specialty chemical side of the business, in the past it came to that some of the competition wasn't necessarily acting on a rational basis for longevity, has that pressure eased off or is it intensifying.
Luc Desjardins: Very good question. It has not eased off. I think people and the market is nervous. There is a bit more capacity, not too much more but there is bit more capacity than demand and some people were negotiating time, they go bit quick, they are quick on the guidance to conclude stuff that they should read a little bit and take time to analyze the market and it’s not been the case and you then you go back to product, since we have something to do going forward, we reduce per capacity for products in 2015 and we intend to continue on that pace into the 2016 years and on. So that will help, I think more intelligent pricing and hopefully better quality reflection from some of our competitors.
Dirk Lever: Yes, instead of the race to the bottom?
Luc Desjardins: That is my perception.
Dirk Lever: Thank you very much.
Operator: Thank you. [Operator Instructions] There are no questions at this time. I’d like to turn it back over to Mr. Desjardins.
Luc Desjardins: So if there is no further question, I’d like to conclude the call and thank you for your participation in 2014 third quarter and full year results. We are excited, we are passionated, we are going to go keep going and connect to the Toronto market with 66% of our population, three of our four head office of the businesses, the fourth one in Dallas closer to lot of customer and computed the ease and the energy group U.S. and Canada for add-on acquisition. We are going to get more into business and we are going to keep improving our standard and hopefully in the years to come, I think we have a high standards and when we get to great, we will give you heads up in advance and when up there, there is a room to improve, and we are going to keep going. Thank you.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. We thank you for your participation.